Operator: Good morning. Welcome to EnWave Corporation's Q2 2023 Earnings Conference Call. My name is Darryl, and I will be your operator for today's call. Joining us for today's presentation are the company's President and CEO, Brent Charleton; and Dylan Murray, EnWave CFO. As a reminder, all participants are in a listen-only mode and the conference is being recorded.  Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investors section of the company's website at www.enwave.net. Now I'd like to turn the call over to EnWave CEO, Mr. Brent Charleton. Sir, please proceed.
Brent Charleton: Hello to everyone who has joined us today for EnWave Corporation's Q2 earnings call. I'm pleased to provide you with an optimistic update today and summarize our strong financial performance from continuing operations. Consistent with our past quarterly earnings calls, the information we will present today contains forward-looking information that is based on our management's expectations, estimates, and projections. Our statements are not a guarantee of future performance and involve a number of risks, uncertainties, and assumptions. Please consider the risk factors in the filings made by EnWave on SEDAR when reviewing this information. Also, all amounts discussed will be in Canadian dollars unless otherwise noted. This morning, I will refer to our continuing operations as EnWave. EnWave is inclusive of our proprietary vacuum microwave technology business, which generates revenue from machine sales, royalties, and toll manufacturing, NutraDried, our operating subsidiary is now classified as discontinued operations. The orderly wind down and value maximization process associated with NutraDried has gone better than expected to date, and Dylan will highlight a few important details pertaining to the NutraDried asset sale later in this call. This quarter, EnWave reported just over $4.6 million in revenue, a 209% increase year-over-year. Quarterly gross margin of 49% compared to 38% year-over-year, an increase in third-party royalties of 13% year-over-year, and we also reduced our SG&A by 24% year-over-year and produced $1.2 million in quarterly adjusted EBITDA, which was up $2.2 million year-over-year. And lastly, we generated net income from continuing operations of $687,000 compared to a $1.7 million net loss year-over-year. Overall, our Q2 numbers are very encouraging. We strategically resold two large scale REV machines to new royalty partners in Q2. The first was to a major Canadian cannabis producer, and the second was to Creations Foods who will continue the production of Moon Cheese in the US and pay EnWave royalties on a go forward basis. Both companies will begin to pay EnWave royalties as of Q3 and their machines are commissioned. We also sold two additional 10 kilowatt units to a current royalty partner and signed an R&D license agreement with the Danish Technological Institute. Recently in Q3, we announced the sale of another 10 kilowatt and the signing of a license agreement with PiP International for the production of yellow pea protein products. That project will hopefully evolve into large scale REV machine orders in the future as they build out their planned infrastructure. We also completed the installation and start of Orto al Sole 120 kilowatt machine in Italy for the production of premium fruit and vegetable snacks, as well as Dole 120 kilowatt machine in Thailand for the manufacturer of their Good Crunch snack line. And we completed a factory acceptance test for the 60 kilowatt REV line that is scheduled for installation in Japan later this summer for a current multi-billion dollar revenue royalty partner. We also look forward to completing the installation of the second 120 kilowatt unit at our US Cannabis partners facility later this year. The culmination of these installations should imminently lead to increased royalties. Moving forward, our focus is to accelerate the commercialization of our vacuum microwave technology and keep this momentum going. EnWave has several pending large scale rating energy vacuum machine orders that we hope to close this fiscal year. These potential opportunities, each one material in their own right, include many repeat or scale up orders from current royalty partners, as well as new prospects that are nearing the end of their respective due diligence. Our understanding is that many of the product launches noted on our previous conference call for Q1 are going well, fruit, vegetable, meat, seafood, and cheesecake snacks seem to be resonating with consumers in multiple markets. And if continued product success is achieved this year, additional REV drying capacity will be in necessity for many licensees. At the moment, there are more than 20 advanced legitimate commercial opportunities to pursue this fiscal year, whether they be technology evaluation agreements, commercial licenses, and/or repeat machine sales. We don't know yet how many will cross the finish line, but we do know they're moving in the right direction. Our partnership with Dole continues to strengthen. Initial market results have been favorable. The 120 kilowatt, as I mentioned, is now fully functional and given the size of Dole, additional large scale REV machines will be needed to address the markets they're pursuing. New Good Crunch products are being perfected, and we are optimistic about the future of this commercial relationship. Progress continues with the US Army and Bridgford Foods. We expect a contract to be awarded by DEVCOM to Bridgford this fiscal year, which is set the table for a large scale REV purchase order. Concurrently, we continue to collaborate with other food companies that are focused on developing military rations, one of which being a large egg product manufacturer. If we can successfully enter the US military ration ecosystem through our licensed partners, we believe multiple additional product introductions could take place thereafter driving additional large scale REV machine orders and, of course, royalty growth. Interest levels in REV dried meat snacks for both human and pet consumption has intensified over the past few months. Two companies, in fact, that we previously announced as royalty partners several years ago, but didn't successfully launch REV dried meat products at that time to market have recently been very active in new product development and are now realistic targets for us to convert into new machine orders later this year. There is no doubt that our vacuum microwave technology can be leveraged in this market vertical to create unique snack offerings.  The outlook for our REVworx tool manufacturing service has not changed, paid line trials continue filling the prospective REVworx client pipeline and we are presently negotiating contracts and expect significant manufacturing capacity to be allocated this fiscal year to companies that are looking to launch new commercial REV dried products. REVworx is an initiative to lower the new product development thresholds for prospective and current royalty partners, leading to incremental processing revenues and more REV machine sales for EnWave. The majority of our near-term expected commercial wins are anticipated to come from agreements with food companies. That being said, our REV technology continues to offer a compelling value proposition to operators in the cannabis industry. We have active discussions with cannabis companies from Europe and the US, and we hope to announce our next cannabis royalty partner this fiscal year. The most recent large scale installation in Canada has clearly demonstrated that REV technology can effectively be used to drive both cannabis plant material destined for extraction and premium smokeable flour. This royalty partner has already been able to reallocate several dry rooms to other upstream and downstream processing steps, and stated to our team recently that the payback on their investment is likely to be much shorter than anticipated. To date, we've established five vacuum microwave machine designs that can be built over and over again profitably. Our challenge now is to close more licensed negotiations, aggressively pursue new projects to reload our pipeline and continue to develop new innovation that will open new market opportunities. I'll now ask Dylan to summarize our Q2 financial results in more detail.
Dylan Murray: Thanks Brent. Good morning everyone, and thank you for joining us today. Please note that the figures I'll be going over today can be found in our press release from yesterday and in the financial statements in MD&A filed on SEDAR and all amounts are in Canadian dollars unless otherwise noted. I will make reference to adjusted EBITDA, which is a non-IFRS financial measure, so please refer to the non-IFRS financial measure disclosures and reconciliation to GAAP net income both in the press release and in our MD&A. Also, please note that the comparative period I'll refer to throughout this presentation is the prior year Q2 ended March 31st, 2022. Revenues for Q2 were $4.6 million compared to $1.5 million in Q1 2022, an increase of $3.1 million or 209%. The increase was primarily due to the resale of two large scale machines during the quarter and the timing of revenue recognition on large scale machine contracts. EnWave had third-party royalty revenue of 277 K for Q2 2023 compared to 245 K for Q2 2022, an increase of 32 K or 13%. This was result of an increase in product sold and produced by our royalty partners. As our royalty partners grow their businesses and increase capacity utilization on REV equipment alongside new REV installations arising from new sales, we hope to see material royalty growth over the coming quarters. Gross margin for the company in Q2 2023 was 49% compared to 38% in Q2 2022. The increase in margin was due to the resale of the two large scale high margin machines. SG&A expenses including R&D were $1.4 million for Q2 2023 compared to $1.8 million for Q2 2022, a decrease of 400 K or 24%. We reduced G&A costs as part of continued focus on managing non-revenue generating spending. Adjusted EBITDA is a non-IFRS financial measure, so please refer to our MD&A for the reconciliation from GAAP net income to adjusted EBITDA. The company reported adjusted EBITDA of $1.2 million for Q2 2023 compared to an adjusted EBITDA loss of $1 million for Q2 2022, an increase of $2.2 million. The increase in adjusted EBITDA was primarily due to the wind down of NutraDried and its classification as discontinued operations, the resale of two large scale machines and the reduction of SG&A expenses including R&D. We finished Q2 2023 with cash on hand of $3.5 million compared to cash on hand of $4.2 million for Q1 2023, a decrease of 700 K. We are pleased with the cash conservation during the quarter given the operational activity associated with the NutraDried wind down. EnWave had a networking capital surplus of $9.5 million as of March 31st. The increase in trade receivables and decrease in inventory was predominantly due to the sale of NutraDried assets to Creations. The decrease in inventory was partially offset by efforts to mitigate supply chain risks and ensure critical components availability for machine fabrication. Aside from our facility leases, our balance sheet remains debt free. As previously announced, NutraDried's financial performance through the past three fiscal years deteriorated materially and after assessing the longer term viability of NutraDried's operations, NutraDried's capital requirements and other current and expected economic factors, EnWave Board of Directors and Executive Management decide to cease funding this loss generating business unit and commence an orderly wind down and value maximization process for the business segment during the quarter. On March 14th, 2023, EnWave agreed to sell certain NutraDried assets including trademarks, auxiliary production equipment, and select saleable inventory to Creations for consideration of USD1.6 million. Additionally, Creations purchased a 100 kilowatt REV machine from EnWave Canada installed at the NutraDried facility for consideration of USD1 million of which USD935 K has been recognized in revenue for continuous operations for the three months ended March 31st, 2023. The remaining revenue of USD65 K will be recognized as interest income over the 25-month payment term. Total consideration for the sale of ne NutraDried right assets and the a 100 kilowatt unit to Creations was USD2.6 million USD of which USD2.2 million was outstanding as of March 31st. Subsequent to March 31st and at the date of this report, USD814 K of the outstanding balance has been collected. There is a second 100 kilowatt machine repatriated from NutraDried that remains unsold and is included in inventory at March 31st. In accordance with IFRS 5 NutraDried has been presented as a single amount on the face of the statement of comprehensive income as discontinued operations. During Q2 2023, the company reported a loss from discontinued operations of $3.4 million compared to 687 K for Q2 2022, a decrease of $2.7 million. The decrease is a result of the operational activity of the windup diminished margins relative to the comparative period and associated writedowns. As of March 31st, 2023 and as disclosed in the segmented information note, NutraDried had assets of $3.1 million and liabilities of $1.8 million. Management believes the eventual completion of this process should be cash natural or cash positive to EnWave. To date, the majority of our operational work associated with the wind down has been completed and NutraDried employees only three people to assist with the remaining items of the orderly wind down.
Brent Charleton: Thanks Dylan. I think that you've made it abundantly clear that the management of the NutraDried wind down and value maximization process has been done well and that EnWave is trending in the right direction. With our prepared commentary finished, I'd now like to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session.  At this time, I'd like to hand the call back over to Brent Charleton to address any web-based questions.
Brent Charleton: Thank you, operator. There are two that have been submitted thus far and I'll address both of them. First is a question regarding the number of commercial licenses that we hold? We've been hovering around the 50 mark for a few quarters now, and the question is when realistically could EnWave see the total amount of licensees reaching 60 tied to future exponential royalty growth?  And so earlier in the call I noted that there was more than 20 legitimate commercial opportunities to pursue. And so with that being noted, we believe that within this fiscal year, there is a possibility of adding multiple additional commercial license partners to our portfolio and reaching the 60 mark. Of course, we're not holding ourselves to a specific number, more so as the quality of the companies that we partner with, the scale of machinery that we are deploying even that comes from repeat orders to established partners because those are the relationships that we know are likely to be successful given products have been in market and consumer uptake has been positive. Next question. Are any new products being developed with or for Natick, i.e., the US armed forces? So the simple answer to that is, is yes. Again, as noted on the call, we are currently working with a very prominent egg manufacturer to do three specific ration inclusions that have already been presented the US Army and has favorable feedback. Now we're moving forward, collaborating with those two parties to hopefully have CRADA, which is basically a research agreement in place to secure funding for this third-party egg manufacturer to further the likelihood of new introductions into the ration ecosystem. Second part to this question, was there any news on the pharma side with regards to partners -- prospects or new partners? The answer is yes, but that isn't being managed directly by EnWave management team. It is being managed through a joint partnership that we forged with GEA Lyo, which is one of the foremost OEMs, building lyophilization or freeze drying equipment in the pharmaceutical industry. And this has been positioned as a microwave assisted lyophilization process and they have a pilot plant in Germany in which they've hosted several of the top tier global pharmaceutical companies to hold trials and are looking to progress that to a more meaningful commercial project. And there really isn't any other details we can share at this time. Next question, do you still plan on buying back shares? If so, when? At this point we are -- no, we have no imminent plans of buying back shares given that we have good uses of the current capital that we have to grow our royalty generating business. If the opportunity presents ourselves -- start presents themselves in the future and management believes that there is value in doing so in executing a share buyback, we'll obviously take into account those variables at that time and make the decision. Next question. Will REVworx financial reporting be consolidated or could you provide the result as a separate item? It continues to be consolidated at this point until its material individual line item. And I'll wait five to 10 seconds to see if any other questions are submitted via the web portal to address. And if not, then we will wrap up the call.
Brent Charleton: Okay. Seeing no additional submissions for questions at this time, would like to thank everybody for dialing in for EnWave Q2 2023 earnings call. If any questions arise after this call, we are readily available via email or submitting questions to our website. Thanks very much everyone.
Operator: Thank you. This does concludes today's teleconference. We appreciate you joining us today for EnWave's Q2 earnings conference call. At this time, you may now disconnect.